Operator: Good morning, and welcome to the 4Q 2022 Steve Madden Limited Earnings Conference Call. All participants will be in listen-only mode [Operator Instructions]. After today's presentation, there will be an opportunity to ask questions. This event is being recorded.  I would now like to turn the conference over to Danielle McCoy, Vice President of Investor Relations and Corporate Development. Please go ahead.
Danielle McCoy: Thanks, Debbie, and good morning, everyone. Thank you for joining our Fourth Quarter and Full Year 2022 Earnings Call and Webcast. Before we begin, I'd like to remind you that our remarks that follow, including answers to your questions, contain statements that we believe to be forward-looking statements within the meaning of the Private Securities Litigation Reform Act. These forward-looking statements are subject to risks that could cause actual results to materially differ from those expressed or implied by such forward-looking statements. These risks include, among others, matters that we have described in our press release issued earlier today and filings we make with the SEC. We disclaim any obligation to update these forward-looking statements, which may not be updated until our next quarterly earnings conference call, if at all. The financial results discussed on today's call are on an adjusted basis, unless otherwise noted. A reconciliation to the most directly comparable GAAP financial measure and other associated disclosures are contained in our earnings release. Joining me today on the call is Ed Rosenfeld, Chairman and Chief Executive Officer; and Zine Mazouzi, Chief Financial Officer. With that, I'll turn the call over to Ed. Ed?
Ed Rosenfeld: Well, thanks, Danielle, and good morning, everyone, and thank you for joining us to review Steve Madden's Fourth Quarter and Full Year 2022 Results. We are pleased to have delivered fourth quarter earnings results in line with our expectations despite an increasingly challenging backdrop. For the full year 2022, we achieved record financial performance, crossing the $2 billion mark in revenue for the first time with double-digit percentage growth on both the top and bottom lines. These results demonstrate the power of our brands and the strength of our business model as well as the disciplined execution of our strategy. Let me briefly walk you through that strategy and the progress we made on our key initiatives in 2022. First and foremost, our top priority, as always, is winning with product. By utilizing our proven model, which combines talented design teams, a test and react strategy and an industry-leading speed-to-market capability, we consistently create trend-right product assortments and get them to market ahead of the competition. We are then supporting this great product with an always-on full funnel marketing and consumer engagement strategy. By combining outstanding product and effective marketing, we are creating deeper connections with our consumers, which in turn is enabling our success with our four key business drivers. The first of which is driving our direct-to-consumer business led by digital. In 2022, our DTC revenue increased 7% over 2021 and exceeded $500 million for the first time. Compared to pre-COVID 2019, DTC revenue was up 62%, including a 192% increase in digital, and we have increased our overall DTC penetration by approximately 700 basis points over this time period. Our second key business driver is expanding our business outside of footwear. In 2022, our accessories and apparel business exceeded $400 million in revenue and increased 13% over 2021. Steve Madden handbags grew 19% for the year. In apparel, we successfully transitioned from the BB Dakota-Steve Madden co-brand to the Steve Madden brand for fall of 2022, and overall apparel revenue for the year increased 38%. Our third key business driver is growing our business in international markets. International has been the fastest-growing part of our business over the last few years, and we believe it represents our largest long-term growth opportunity going forward. 2022, we grew international revenue 56% compared to 2021. For the year, international represented 16% of our total revenue, up approximately 500 basis points from pre-COVID 2019. We also continue to make investments to drive international growth going forward. Part of our strategy in this business is to transition from the distributor model to an ownership model in key markets. In the Middle East, we've had a distributor relationship for over a decade and in recent years, the brand has gained strong traction in the region. In order to capitalize on the significant growth opportunity we see in the GCC, in December, we converted that business to a joint venture model when we formed a new partnership with leading regional player Apparel Group. We own 50.1% of the JV and Apparel Group owns 49.9%. There are currently 21 Steve Madden stores in the territory, and we expect to end the year with between 25 and 30 locations. Finally, our fourth key business driver is continuing to strengthen the U.S. wholesale footwear business that remains the core of our business. In 2022, U.S. wholesale footwear revenue reached a $1 billion mark, increasing 13% over 2021, including more than 20% year-over-year growth in each of our four largest brands; Steve Madden, Dolce Vita, Anne Klein, and Betsey Johnson. So overall, 2022 was a strong year for Steve Madden as we delivered record financial performance and demonstrated tangible progress on each of our key strategic initiatives. That said the operating environment became increasingly challenging as the year progressed. Consumers began to pull back on discretionary spending and more impactfully to us, our wholesale customers pulled back on orders as they prioritize inventory control. We also face increasingly challenging comparisons with the prior year as the year went on, culminating in the fourth quarter when we were lapping a quarter where revenue was up 38% and diluted EPS was up 125% to pre-COVID in 2019. As we look ahead, we expect these challenges to persist in the near term. Our wholesale customers have taken a conservative approach to spring orders. The outlook for overall consumer spending is uncertain, and we faced tough comparisons in the first half, particularly in the first quarter when the compares are very similar to what we faced in Q4. That said, we have a proven ability to navigate difficult market conditions and a track record of taking market share during challenging economic periods, due largely to our agile business model, which enables us to run lean on inventory and chase goods in season when needed. Looking out further, we remain confident that we can leverage our core strengths, our people, our brands, and our business model to continue to drive progress on our key strategic initiatives, which in turn will enable us to deliver sustainable growth and create value for our stakeholders over the long term. Now I'll turn it over to Zine to review our Fourth Quarter and Full Year 2022 Financial Results in more detail and provide our initial outlook for 2023.
Zine Mazouzi: Thanks, Ed, and good morning, everyone. 2022 marked a record year in terms of both revenue and earnings. Our consolidated revenue in 2022 was $2.1 billion, a 13.7% increase compared to 2021. Our wholesale revenue was $1.6 billion, up 16.4% compared to the prior year, including an increase of 16.9% in wholesale footwear revenue to $1.2 billion, and an increase of 14.8% in wholesale accessories vendor power revenue to $394.7 million. Now our direct-to-consumer segment, revenue was $521.7 million, a 6.9% increase compared to 2021, driven by growth in both the brick-and-mortar and e-commerce businesses. Consolidated gross margin was 41.2% in 2022, a 10-basis point increase compared to 2021. Operating expenses were $591.3 million in 2022 compared to $505.6 million in 2021. As a percentage of revenue, operating expenses were 27.9% in 2022 compared to 27.1% in 2021. Adjusted income for 2022 totaled $282.6 million or 15.3% of revenue compared to $261.9 million or 14% of revenue last year. Our effective tax rate for the year was 22.5% compared to 21.2% in 2021. Finally, net income attributable to Steve Madden Limited for the year was $218.3 million or $2.80 per diluted share, the highest in the company's history compared to $203.7 million or $2.50 per diluted share in 2021. Turning to the fourth quarter results. Our consolidated revenue in the fourth quarter was $470.6 million, an 18.6% decrease compared to the prior year. And as I've mentioned, we faced an extremely difficult comparison to the fourth quarter of 2021 when revenue was up 37.9% to pre-COVID in 2019. Our wholesale revenue was $308.8 million, down 24.8% compared to the prior year when wholesale revenue was up 30.8% to 2019. Wholesale Footwear revenue was $226 million, a 25.5% decrease from 2021 when wholesale footwear revenue was up 29.9% to 2019. Wholesale Accessories and Apparel revenue was $82.8 million, down 22.8% to last year when Wholesale Accessories and Apparel revenue was up 33.3% to 2019. In our direct-to-consumer segment, revenue was $159.3 million, a 3.2% decrease compared to 2021, driven by a decline in brick-and-mortar business, partially offset by a modest increase in e-commerce. We ended the year with 232 company-operated brick-and-mortar retail stores, including 66 outlets as well as six e-commerce websites and 20 company-operated concessions in international markets. Turning to our licensing segment. Our license and royalty income was $2.5 million in the quarter compared to $2.9 million last year. As we discussed last quarter, we've completed the wind down of our first cost business and transitioned those remaining private label customers from a buying agent model to a wholesale model. As such, we did not generate revenue in the first call segment in the fourth quarter versus approximately $400,000 in revenue in the fourth quarter of last year. Consolidated gross margin was 42.2% in the quarter, expanding 100 basis points from the prior year. Wholesale gross margin was 30.5% compared to 31.8% last year due to increased closeouts compared to the prior year when closeout activity was unusually low. Direct-to-consumer gross margin was 64% compared to 63.5% last year. The 60-basis point increase was driven by a reduction in rate expense. Operating expenses were $156.5 million in the quarter compared to $151.5 million last year. As a percentage of revenue, operating expenses were 33.2% in the quarter compared to 26.2% in 2021 reflects an expense deleverage on a lower revenue base and a higher penetration of DTC. Operating income for the quarter totaled $42.2 million or 9% of revenue, down from $86.9 million or 15% of revenue last year. Our effective tax rate for the quarter was 20.9% compared to 18.3% in 2021. Finally, net income attributable to Steve Madden Limited for the quarter was $33.7 million or $0.44 per diluted share compared to $70.4 million or $0.87 per diluted share in 2021. Moving to the balance sheet. Our financial foundation remains strong. As of December 31, 2022, we had $289.8 million of cash, cash equivalents, and short-term investments, and no debt. Inventory was $228.8 million, down from $255.2 million in the prior year. Our CapEx in the quarter was $6.2 million. During the fourth quarter and full year 2022, our share repurchases totaled $36.8 million and $148.9 million, respectively, including shares acquired through the net settlement of employee stock awards. The company's Board of Directors approved a quarterly cash dividend of $0.21 per share. The dividend will be payable on March 24, 2023, to stockholders of record as of the close of business on March 10, 2023. Combining share repurchases and the dividend, we returned $214.9 million to shareholders in 2022. Turning to our outlook. We expect revenue for 2023 to decrease 6.5% to 8% compared to 2022, and we expect diluted EPS to be in the range of $2.40 to $2.50. As I mentioned, we faced extremely tough comparisons in the first quarter of 2023, very similar to those we faced in the fourth quarter of 2022. Therefore, we expect Q1 revenue and EPS to decline year-over-year at a percentage rate similar to what we just reported for Q4. Now I'd like to turn the call over to the operator for questions. Debbie?
Operator: We will now begin the question-and-answer session [Operator Instructions]. First question is from Aubrey Tianello with BNP Paribas.
Aubrey Tianello: First, wanted to see if you could possibly provide any more color on what's embedded in the 2023 revenue guide for a wholesale and DTC revenues for the year and if possible, also for the first quarter as well?
Ed Rosenfeld: So for the full year, we're looking for wholesale to be down roughly 12% to 13% and for DTC to be up high single digits versus 2022. In terms of I think you should expect revenue declines year-over-year in line with what we just reported for Q4.
Aubrey Tianello: And then maybe on the wholesale side, on the wholesale footwear side, in particular, if you could provide any color on what you're seeing from your different customer groupings in terms of sell-through and how that's kind of evolved in the first quarter compared to the fourth quarter. Any particular pockets of weakness or strength to call out or maybe it's similar kind of across the board.
Ed Rosenfeld: Obviously, some are better than others but generally speaking, we're seeing pretty consistent trends across channels. So, I don't think there's anything to really call out there. The challenge for us is particularly in our core brands, Steve Madden, the inventory levels in the channel, we think they're too low. We think our wholesale customers need to take some more goods in. Our inventory levels are down considerably over where they were a year ago. And you asked about sell-through. So, with much lower inventory levels, our sales out to the consumer are also lower. Good news is, if you look at the most important customers, the decline in sales is less than the decline in the stock level, which means the goods are selling through at a higher percentage rate. Hopefully, that will encourage our wholesale customers to step up and increase those inventory levels.
Aubrey Tianello: And if I could just follow on that one more. Curious where lead times are at now if those have fully normalized and where you're at in terms of your ability to chase? And then also, as you maybe kind of alluded to, like when your wholesale partners may be ready for that as well.
Ed Rosenfeld: Yes, that's something we're excited about. The lead times are essentially back to normal, back to pre-COVID levels, which means we're back to being able to run the model that is what we think really differentiates us, being able to test and react, utilize our speed to market capability, to react close to and in season. And so, we are prepared to chase and we're looking forward to doing that this year.
Operator: Next question is from Laura Champine with Loop Capital.
Laura Champine: I get that the Q1 order pattern from wholesale is weak, but to have sales down that much for the full year, why would sales be down that much at full year at wholesale if your direct business actually grows? Have you seen a pattern like that historically?
Ed Rosenfeld: Well, I think what we're seeing right now is a pretty big disconnect from what's happening in terms of consumer demand and what's happening with the wholesale customers ordering. That's because for the most part, our wholesale -- pretty much across the board, our wholesale customers got into a position of having more inventory than they wanted in our categories, and they were all looking to get those inventories in line. So they pulled back pretty dramatically on orders. We felt that, obviously, in Q4, you saw that in the numbers, and we're feeling that for spring of 2023 as well so far. Has there been a pullback in consumer demand? A little bit, but the swing that we've seen and the pullback that we've seen from wholesale customers in terms of their orders has far exceeded any full back in consumer demand. That's what we're faced with in spring. We're going to start the year being down, obviously, double digits in the first half year in wholesale. We're hopeful that we can start to see an improvement in the back half, but that's how we're starting the year.
Laura Champine: And historically, have you seen that kind of a spread between wholesale and DTC where I understand DTC often does better, but where DTC is up for the full year, but wholesale is down double digits.
Ed Rosenfeld: I'd have to look back. I can't remember. This is a pretty wide divergence. The good news about this is usually these things converge over time. And so I don't expect it to sustain like this for a long period.
Operator: The next question is from Sam Poser with Williams Trading.
Sam Poser: A couple of questions. Number one, within the guidance within the guidance, when you think about wholesale, I would assume you're thinking about wholesale data around, what, 20% in the first half of the year and then less and up fractionally in the back half? Is that a good way to think about it?
Ed Rosenfeld: Round numbers -- you're in the ballpark. Yes.
Sam Poser: And then with the inventory, how if everything -- if all things being equal, you were doing the same volume today as you were a year ago, but the penetration of DTC change, would you -- what kind of -- how much more inventory do you need to have? Because you guys used to run carrying about 8 forward weeks of supply of goods and now you're running at around 10%. Is that really the -- and with the speed back to normal, is that just because you need to -- the slightly less fast turn is because you just need to carry more inventory to support the direct-to-consumer business than you did prior in 2019?
Ed Rosenfeld: Yes, that's right. Wholesale turns about close to 3 times as fast as DTC. So as we've increased this DTC penetration by about 700 basis points compared to pre-COVID, that is going to slow down the overall turn.
Sam Poser: And then lastly, are you taking into account that the wholesalers will improve their app web business with you? Or are you sort of taking it? Is the guidance reflecting what you're seeing today?
Ed Rosenfeld: The guidance mostly reflects what we're seeing today. If we get into chase mode and the wholesale customers are identified some trends and really want to go after really want to chase business, then that would be potential upside here.
Operator: Next question is from Tom Nikic with Wedbush Securities.
Tom Nikic: I guess, how should we think about margins for this year? Is there any way we should think about gross margin versus SG&A, both for the full year and for Q1?
Ed Rosenfeld: In terms of gross margin, we think we can see a nice improvement overall. We're targeting around a 43.5% gross margin for the year. That's up about 230 basis points. A little over half of that is just the mix of DTC increasing in penetration. And then there's some number of puts and takes and a number of factors, but most of the biggest factor in the remainder of the increase is the freight benefit that we'll get from the lower ocean rates. In terms of SG&A, obviously, with the sales decline that we're having and this mix shift towards DTC, there's going to be deleveraged there. Overall, if you're looking at operating margins, the guidance implies sort of 12, 12, and change.
Tom Nikic: And if I could follow up earlier on the DTC versus wholesale growth. So I think you said DTC up high singles for this year. Does that include a contribution from the conversion of the Middle East distributor to a subsidiary? I think you said you've got 20-ish stores in the region. Does that contribute to the high single-digit growth that you're seeing in DTC?
Ed Rosenfeld: Yes, it does. It does. There's comp growth as well, but that is included there.
Operator: The next question is from Jay Sole with UBS.
Mauricio Serna: This is Mauricio Serna on behalf of Jay Sole. I wanted to ask, when you're talking about the first quarter guidance and you're expecting a similar decline as in the 4Q, does that imply also DTC will be down, or what are you seeing there in terms of the DTC business? And then when we're thinking about the gross margin for the year, does that expansion over 200 basis points, does that include any negative impact from higher promotions? Or how are you thinking about promotions? And how is that baked into the gross margin guidance? Thank you so much.
Ed Rosenfeld: In terms of DTC in Q1, yes, I think it should be pretty similar to what you saw in the back half of 2022. Q3, we were down 4%. Q4, down 3% should be in that range in Q1. In terms of the promotions, we've built in more promotional activity in the first half. Remember, last year, we still had an unusually low level of promo activity. But we actually think that we can have less promotional activity in the back half or at least particularly in Q4. So for the year, probably pretty similar overall.
Operator: Next question is from Paul Lejuez with Citigroup.
Tracy Kogan: It's Tracy Kogan filling in for Paul. I first wanted to ask a follow-up on the wholesale business. I was wondering if you've seen any change or acceleration in point-of-sale trends at your partners' year-to-date, so in 2023? And then my second question is on your international opportunities. I was wondering what you're expecting for the international business this year in terms of growth? And what regions you feel longer term, you have the biggest opportunities in? And also where you might have opportunities to convert like you did in the Middle East?
Ed Rosenfeld: Yes, it's still early. In terms of the POS trends this year. We've got some items that we're very excited about for spring. Some early selling on those items. That is pretty darn good. We're very excited about some -- we've got some great flat sandals, I think better flat sandal early selling than we've had the last few years. Loafers continue to do well. We're doing well with some novelty feathers, butterflies, flowers, et cetera. So we've got some things that we're excited about. But in the wholesale channel, we're just now getting those reads. One of the challenges this year was that the wholesale customers did not want to take in the spring goods as early as they have in prior years. We talked about getting back to this test and react and our ability to chase. But typically, by now, we would already be chasing tough for second quarter because we would have had read say a few weeks ago, a month ago and already been reacting to those. But because our wholesale customers took the goods in a little bit later, we're just now starting to see those reads. So it is still early. But overall, what we're seeing in our -- certainly in our direct-to-consumer channels and then the very early read is some good sell-through on the spring items. In terms of international, we talked about in the formal remarks, that's been the fastest-growing part of the business over the last several years. We're still really pleased with the momentum that we see there despite the headwinds this year and what we're seeing overall, we still think that business can be a double-digit grower for us in 2023. Obviously, we're not going to see the 50-plus percent growth that we saw last year but I do think we can see double digits. In terms of regions, it's still, I think, the EMEA region that we're the most excited about. That's been the driver of growth for us, over the last several years. I think even in the next few years, that's where we see the biggest opportunity. We've just got tremendous momentum in Europe. Obviously, we're aware of some of the macro headwinds in that region, but our business continues to chug along there, and we think we're going to grow there again this year. And then also included there in that region is the new Middle East JV that we talked about that we're very excited about. And even some smaller businesses that we have really nice momentum and we're doing great in Israel and South Africa, et cetera. In terms of other regions that we may convert, there's a couple that we have our eye on, not ready to talk publicly about what those are because we don't know what direction those discussions will go. But I think there's potential for us to do at least one more in a smaller region in 2023.
Operator: The next question is from Dana Telsey with Telsey Group.
Dana Telsey: As you think about the wholesale business and parsing it apart, whether it's between discounters or department stores, whatever it may be, as you see the year progress, who would recover first? Is there any particular channel or category that typically places orders first? And what are you looking for to see the improvement in wholesale?
Ed Rosenfeld: It's really our first tier customers that we would look to recover first. By that, I mean the department stores, the peer play e-commerce players, et cetera. Those are the folks that typically when we get strong selling, we can chase goods for. Some of the other businesses are planned out further. If you think about our mass merchants, for instance, we don't really chase in the same way in that tier of distribution. But that first tier is where we'll be looking to chase into hot-selling items.
Dana Telsey: And then just through the fourth quarter, what's your view of the health of the consumer? Was there any difference by region? It seemed like one of the changes was e-commerce had a modest increase and brick-and-mortar slowed down a little bit. Anything to note in terms of the health of the consumer from what you saw?
Ed Rosenfeld: Look, as I alluded to earlier, certainly the consumer -- if you think about consumer demand, it's not as strong as it was a year ago. We have seen some slowdown in consumer demand and discretionary spending on our categories. But that's not our primary issue right now. That slowdown has been pretty modest. You've seen our DTC has been running down 3%-ish. It's really this pullback from the wholesale customers, which has been much more dramatic and it's related to them and their efforts to get their own inventories in line. In terms of -- you asked about regions. If you look at, for instance, our comp store sales, I mean, the strongest region for us in comps has been New York City, but that's really just a function of -- that was the latest that you recover from COVID. And so the comparisons there are easiest. So I don't think there's much really to call out there other than that.
Operator: Next, I have a follow-up question from Sam Poser.
Sam Poser: Just a follow up on the direct-to-consumer business. In the quarter compared to pre-COVID, can you tell us what your store -- like how your store and your digital revenue was in the quarter versus Q4 '19?
Ed Rosenfeld: Yes. I can tell you, we comped up 12% in bricks-and-mortar. Digital, I don't have the number in front of me, but it's up much more dramatically than that. As you know, for the year, I think the number was 192%. I think that's what we said. I don't know if the Q4 was that strong, but it was very -- it was up significantly from Q4 '19.
Sam Poser: So is this a situation where the -- during 2021 when there was the stimulus and everything around that generated a lot of direct-to-consumer business, especially e-commerce for you, you've been able to retain a good bunch of that, but you have more customers than you did prior in 2019. And so when you're talking about the weakening consumer, arguably for you, the consumer right now is significantly stronger than they were pre-COVID but 2021 was conflated for many different reasons. Is that a fair -- is that fair? Because I don't know -- I can't wrap my arms around the consumers being weak. I wrap myself around a lot of people over a lot of retailers specifically overestimated the momentum coming out of 2021 and caused a lot of that caused havoc with 2022.
Ed Rosenfeld: My comments about some softening in consumer demand were in comparison to the prior year. And to your point, the prior year was a pretty special moment because we had tremendous pent-up demand. We had consumers with a lot of money in their pockets due to stimulus payments, and there were a lot of -- it was a lot of good things happening. We had some supply chain issues, which meant there was a lack of goods out there and so very little discounting, et cetera. So we were comparing against a pretty special time. We're a little bit softer than that point. But to your point, overall, a DTC business that's much bigger and much stronger than it was pre-COVID.
Sam Poser: And then just lastly, back to where the previous one for with the question, and you mentioned it, your wholesale sell-through rates are strong. Most of these big retailers are overstocked in our overstocked footwear vendors and that are other than yourself as well as in other categories other than yourself, which is precluding the fill-in orders as they work to liquidate those goods. I mean that seems to be what's going on. Is that what's going on here?
Ed Rosenfeld: Yes, I think you've summed it up. Yes.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Ed Rosenthal for any closing remarks.
Ed Rosenfeld: Great. Well, thanks, everybody, for joining us this morning, and have a great day. We look forward to speaking with you on the next call.
Operator: Conference has now concluded. Thank you for attending today's presentation. You may now disconnect.